Operator: Good morning, and welcome to Worthington Steel's Fourth Quarter 2025 Earnings Call. [Operator Instructions] I will now turn the call over to Melissa Dykstra, Vice President of Corporate Communications and Investor Relations. Please go ahead.
Melissa Dykstra: Thank you, operator. Good morning, and welcome to Worthington Steel's Fourth Quarter Fiscal Year 2025 Earnings Call. On our call today, we have Geoff Gilmore, Worthington Steel's President and Chief Executive Officer; and Tim Adams, Vice President and Chief Financial Officer. 
Geoffrey Gilmore: Good morning.  Thank you for joining us. First, I want to thank our incredible Worthington Steel team. Once again, they demonstrated resilience, flexibility and an unwavering commitment to safety and serving our customers. In the fourth quarter, we generated adjusted EBITDA of $87 million compared with $86.5 million in the prior year quarter. Earnings per share were $1.10 compared to $1.06 in the same period last year. While the macroeconomic environment remains mixed, Worthington Steel employees stayed focused on execution, and we made important strategic progress. Let me begin with a look at what we saw across our end markets. In automotive, our volume strengthened in the fourth quarter. We continue to gain market share in the overall automotive market, and I commend our commercial teams and everyone involved for their commitment to fulfilling the needs of our automotive customers. The construction markets we serve, which include fencing, culvert and metal buildings, were down slightly year-over-year. We saw an uptick in heavy truck because we have gained some share in that market. The agricultural market, however, continues to face pressure. Energy demand and the need for transformer cores continue to grow as the world relies more and more on artificial intelligence and electrified vehicles. Transformer core growth is also fueled by the need to replace aging electrical infrastructure as more than half of the transformers and use today reached the end of their useful life. Now let's talk about the progress we're making on our long-term strategy. We continue to execute against a road map that's built on 3 pillars: focused investments in the rapidly growing electrical steel market; margin-accretive growth using a strong commercial focus, combined with strategic CapEx and acquisitions; and base business improvements to improve margins, reduce working capital and to add incremental capacity through our transformation. Starting with our capital investments, we continue to progress on our electrical steel expansions in Mexico and Canada. Testing is underway on the 5 presses in Mexico, and we are preparing for initial production later this calendar year. Electrified vehicle adoption continues to make gains globally with current estimates projecting that hybrids and BEVs will make up more than 2/3s of global market share by 2030. Our Canada transformer core expansion project remains on track to begin production in early calendar year 2026. The transformer market in the U.S. is expected to double over the next 10 years to meet the growing demand for electrification. On the acquisition front, I'm pleased to share that we closed on our acquisition of a 52% ownership stake in Sitem on June 3. Sitem is a European electrical steel lamination manufacturer and electric motor die-casting experts. This move marks a significant step in enhancing our position in the European electric motor lamination market and strengthening our ability to support global automotive and industrial motor customers. Sitem brings strong technical capabilities and expertise in tooling and automation systems for electric motor laminations that will benefit our electrical steel operations globally. Beyond those capabilities, what truly excites us is the cultural fit. Their people-first values mirror our own Worthington philosophy. We are thrilled to welcome the Sitem team into the Worthington family. From a commercial perspective, we continue pursuing growth opportunities in select markets, and our team continues to gain market share, fill open capacity and exceed customer expectations. Our team deserves high praise for their ability to collaborate with our suppliers and customers this quarter as they manage through potential supply chain disruptions due to the idling of several mill locations. They worked hard to ensure an uninterrupted supply for our customers. This quarter, Worthington Steel was named a 2024 Supplier of the Year by General Motors, marking our fourth time in the past 5 years achieving this distinction. And we were recognized as a Partner-level Supplier in the John Deere Achieving Excellence Program for the 13th consecutive year, Deere & Company's highest supplier ratings. These awards validate our commitment to quality, innovation and service for our customers. Now looking at continuous improvement to our base business, which we call transformation. Looking for ways to get better is part of our DNA. Across the company, teams are reducing change over time optimizing working capital, improving safety and streamlining operations. We have added another tool to our transformation tool belt, artificial intelligence. We kicked off our AI journey in earnest this quarter, and we see AI as a force multiplier that will elevate our work. AI will become an expectation at Worthington Steel. And we believe it will help us be more productive, improve quality and unlock new value for our customers. Together, these actions strengthen our competitive advantage and give us a clear path to margin expansion, high returns on capital and long-term value creation. I'm pleased with how well our team is executing on our strategy despite some headwinds. We are focused on what we can control, what we can improve and what we can do to serve our customers, all with an eye toward safety. On the governance front, we announced yesterday the addition of Mark Davis to our Board of Directors. Mark brings an extensive background in finance, mergers and acquisitions and corporate governance. He will be a tremendous asset to Worthington Steel as we continue to grow. As I conclude my remarks, I want to reiterate the cautious optimism we mentioned last quarter. We still sense a bit of uncertainty around policy and the overall macro economy, but our team continues to find ways to win. We are improving our processes and gaining market share, we are embracing AI to unlock even more potential in our business, and I firmly believe we have the right strategy, strong customer relationships and most importantly, the right people. Although we have only been a stand-alone company for 18 months, we are celebrating 70 years of heritage this year. And for me, that means celebrating the people who fuel our momentum. Our employees are the true strength behind Worthington Steel. Together, we are building the most innovative, customer-focused and efficient steel processor in North America and beyond, one that's purpose-built for the next 70 years. Now I'll turn it over to Tim Adams to walk through the financials.
Timothy Adams: Thank you, Geoff, and good morning, everyone. For the fourth quarter, we are reporting earnings of $55.7 million or $1.10 per share as compared with earnings of $53.2 million or $1.06 per share in the prior year quarter. There were several unique items that impacted our quarterly results. First, the current quarter results include $1.7 million or $0.01 per share of pretax restructuring charges related to 2 discrete items. The first was $800,000 of severance expense associated with our previously announced closure of Worthington Samuel Coil Processing toll pickling facility in Cleveland. Production at the Cleveland pickling facility effectively ended in May. The second discrete item was a restructuring expense of $900,000 associated with the previously announced early retirement program at our tailor-welded blanks joint venture. Additionally, in the current quarter, we recognized a $4 million gain in miscellaneous income associated with a currency hedge on the Sitem purchase price. Finally, the prior year quarter results included recognition of the final unfavorable tax court ruling related to a Tempel pre-acquisition matter for which we were indemnified by the former owners of Temple. The net impact to earnings is 0. However, we recognized $2.8 million of miscellaneous income related to the indemnity receivable and an additional $2.8 million of tax expense. Excluding these unique items, we generated earnings of $1.05 per share in the current quarter compared with $1.06 per share in the prior year quarter. In the fourth quarter, we had estimated pretax inventory holding gains of $20.8 million or $0.31 per share compared to estimated pretax inventory holding losses of $3.4 million or $0.05 per share in the prior year quarter, a favorable pretax swing of $24.2 million or $0.36 per share. In the fourth quarter, we reported adjusted EBIT of $70.1 million, which was down $300,000 from the prior year quarter adjusted EBIT of $70.4 million. This decrease in adjusted EBIT is primarily due to lower gross margin and lower equity earnings at Serviacero, partially offset by a year-over-year decrease in SG&A expense. Gross margin was $4 million lower than the prior year quarter, primarily due to unfavorable tolling margins, offset by increased direct spreads. Toll processing margins were down $8.1 million, impacted by lower toll volumes and an unfavorable toll processing mix. Direct volume was flat year-over-year, while direct spreads were up $3.4 million, primarily due to the impact of year-over-year pretax inventory holding gains. Direct spreads, excluding the impact of estimated holding gains, were down primarily due to a shift in direct product mix to lower value-added products and market compression in the spread between hot-rolled products and higher value-added products. SG&A decreased $4.8 million over the prior year fourth quarter, primarily due to a $3.3 million decrease in compensation and benefit costs as well as lower bad debt expense. In the prior year, we recognized $1.7 million of bad debt expense due to an isolated matter as compared with $100,000 of income in the current year quarter. Equity earnings from Serviacero decreased due to lower direct volumes and spreads as well as the impact of exchange rate movements. Next, I will provide some perspective on our market and our shipments. The market pricing for hot-rolled coil began the calendar year at just under $700 per ton. Once steel tariffs of 25% were implemented, the price of hot-rolled jumped to $950 per ton in March and April, but dropped back to approximately $850 per ton in June. With the recent announcement of 50% tariffs on imported steel, we may see additional upward pressure on steel prices. Given that many of our contracts use lagging index-based pricing mechanisms, we expect to generate inventory holding gains in the first quarter of fiscal 2026. We estimate those gains could be approximately $5 million to $10 million as compared with the $20.8 million of estimated holding gains in the fourth quarter of 2025. Net sales in the quarter were $833 million, down $78 million or 9% from the prior year quarter, primarily due to lower direct selling prices and, to a lesser extent, lower toll volumes and an unfavorable toll processing mix. We shipped approximately 982,000 tons during the quarter, which was down 5% compared with the prior year quarter. Direct sales volume made up 60% of our mix in the current year quarter as compared with 58% in the prior year quarter. Direct sales volume was flat compared with the prior year quarter, and we experienced pluses and minuses across various markets as customers continue to navigate uncertainty during the quarter. Automotive was a bright spot during the current quarter. Our shipments to the automotive market were up 5% compared to the prior year quarter. As we noted in prior quarters, we have won share in the automotive market. The new programs have begun to ship, and we expect to show incremental volume from the new programs over the next few quarters. This additional automotive volume more than offset the continued year-over-year challenges faced by one of our Detroit 3 OEM customers. We continue to be optimistic the OEM is making progress towards optimizing their commercial strategy, leading to a more normal build schedule later in calendar 2025. Similar to last quarter, our year-over-year shipments to the remaining D3 grew despite a small drop in OEM unit production. Our teams continue to work collaboratively with our automotive customers to deliver mutually beneficial solutions. We look forward to expanding our long-term relationships with our automotive customers. We also saw volume increases in the heavy truck market due to market share gains despite an apparent slowdown in the truck and trailer market. These results reflect our successful execution in targeted markets, particularly where we pursue a strategy to support key customers. Volume increases in the automotive and heavy truck markets were offset by reductions in the construction and ag markets. Construction volume was down 5% year-over-year, but consistent with historic fourth quarter levels. Our ag volumes were down 40% compared with the prior year quarter, primarily due to the expected softness in the agricultural equipment market as well as increased competition in the grain bin sector, resulting in spread compression. While tariffs have introduced additional uncertainty and competition has intensified in the ag market, we responded with strategic pricing discipline and remain well positioned to adapt quickly as conditions evolve. Toll processing tons were down 11% year-over-year for several reasons. First, we saw slowness in some automotive tolling programs that are platform-specific. Second, we began to show a reduction in volume associated with the wind down of Worthington Samuel Coil Processing toll pickling facility in Cleveland, which we idled in Q4. Finally, we were impacted by several customer decisions. For example, one customer changed the program from toll processing to direct sale, while another customer elected to resource a toll processing program to capture freight savings. When end market demand picks up, we expect our toll processing volumes to increase. However, as we discussed last quarter, we expect to see a decrease of approximately 100,000 annual toll processing tons primarily as a result of the WSCP consolidation from Cleveland to Twinsburg. Turning to cash flows and the balance sheet. Cash flow from operations was $54 million and free cash flow was $8 million. During the quarter, we spent $46 million on capital expenditures related to a variety of projects, including the previously announced electrical steel expansions. In addition, we purchased a building for our Columbus, Ohio headquarters and expect to move into the building next summer when renovations are complete. Capital expenditures for fiscal 2025 totaled $130.4 million, and we expect CapEx for fiscal 2026 to be approximately $100 million. Our disciplined capital investments are aligned with long-term priorities, particularly in electrical steel and maintaining our key equipment in market-ready condition to support growth and customer needs even in uncertain markets. On a trailing 12-month basis, we generated $100 million of free cash flow. Wednesday, we announced a quarterly dividend of $0.16 per share payable on September 26, 2025. We ended the quarter with $38 million of cash and our outstanding debt as of May 31 was $152 million, resulting in net debt of $114 million. The increase in net debt over the third quarter of fiscal 2025 is primarily the result of our funding of the Sitem acquisition with the funds held in restricted cash as of May 31. We closed on the Sitem acquisition on June 3, acquiring a 52% controlling ownership interest. With this addition, we broadened our electrical steel capabilities and customer base in Europe. Sitem will be consolidated in our results going forward. Integration is already underway with joint teams identifying commercial and operational synergies. We are confident the integration is progressing as planned and view Sitem as a natural extension of our electrification growth strategy. Thank you to both the Sitem and Worthington teams for their hard work to finalize the transaction. Finally, I would like to say thank you to everyone at Worthington Steel for making safety the highest priority at every facility and for driving results in a dynamic market. With a strong balance sheet, a focused strategy and an agile team, Worthington Steel is well equipped to create value and act decisively as opportunities arise. I want to thank our entire team for their hard work during our first full year as an independent company and for their dedication to our philosophy and our shareholders. At this point, we will be happy to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Samuel McKinney with KeyBanc Capital Markets.
Samuel McKinney: Congrats on the great quarter. Starting on fourth quarter gross margin, up nearly 350 basis points quarter-on-quarter, and it was the best figure you guys have posted in 2 years. Talk us through how you achieved the richer mix of direct tons and stronger metal spreads despite the macro headwinds that you're still facing in some key end markets.
Timothy Adams: Well, Sam, this is Tim. Let's parse that a little bit. So fourth quarter in terms of volume is typically our strongest quarter, right? So when you look year-over-year, we were fairly flat on volume, but quarter-over-quarter, we were up quite a bit, right? And I think that's an indication of the market is solid across a lot, right? It's not hugely up or hugely down, but solid across a lot of industries. I think when it comes to the spreads or the gross margin, I think you have to back out inventory holding gains and losses. So once you do that, I think what we saw was spread compression in both quarters, Q3 and Q4 because of product mix. We had a richer product mix in Q3 versus Q4. And year-over-year, we had a richer product mix in the prior year. I think the other same thing you're seeing there is you're seeing compression on market spreads from a -- just a high value-add versus hot-rolled, so hot dip to hot-rolled spread or cold rolled to hot-rolled spreads. So you're seeing some compression there.
Samuel McKinney: That leads into my next question, which is that galvanized spreads, like you said, still relatively compressed with demand still cautious on tariff uncertainty, interest rates. How do you view that market as we move into fiscal year '26?
Geoffrey Gilmore: Yes, cautiously optimistic. You'll hear that a lot, unfortunately, Sam. But look, we're in a period where there's not a lot of clarity with the tariffs. Because of the tariffs and not having a lot of clarity, you're not seeing much movement on interest rates either. So demand has been a bit muted across several markets that use a lot of galvanized. At the same time, there's been 4.5 million tons of galvanized capacity that's been added over the last several years, and you had quite a bit of imports coming in. So that's certainly compressed that spread you're referring to between hot rolled and galvanized, and it just creates a more competitive environment. I think we're working through that and why I'm cautiously optimistic, we'll begin to see improvements there. And it's really a couple of things. I think when we put the 25% tariffs in place, that didn't have a very significant impact on market pricing or on imports, raising that to 50% certainly will. At the same time, a lot of antidumping cases that have been pushed through, and that's going to limit the amount of galvanized coming in as well. So just those things alone, you'll start to see that spread recover. And then as we work through the tariffs, and I believe firmly, we will, but we're not going to see any significant movement on interest rate cuts until that's done. But as we move through that, we certainly are going to start to see demand pick up. You got the big beautiful bill coming behind it. And so there's money to be spent, things will pick up, and that certainly will help drive that spread as well.
Samuel McKinney: Okay.  And then last one for me. I know throughout the course of fiscal year '25, you guys dealt with some destocking from the automotive OEMs. With the understanding that they're probably not going to build up a huge amount of inventory anytime soon, I mean how can you guys continue to be successful in that end market? I know you noted the new market share wins.
Geoffrey Gilmore: Yes.  Good question, Sam. Fortunately, and not a surprise, we clearly are watching forecasts closely, historical forecasts. We get great information on build rates. We had sales and operation planning meetings. And so to your point, we didn't see or feel any type of significant pull ahead this quarter. And the reality is if you look at the Detroit 3 is the easiest example I can get, whether it be Ford or GM or Stellantis, this is all published publicly, build rates were down quite a bit. And we were down less than half. And why we performed well this quarter as far as volume goes, specifically in that market, which was up 5% automotive, is market share gains. Our team, again, I gave them high praise in my comments. We've been talking about this over the last few quarters. We picked up significant market share in automotive. And we will continue over the next few quarters to see that additional market share trickle in. And we had also mentioned one of our larger customers was struggling a little bit. They were late on several launches, and they were not nearly as aggressive as others on pricing and incentives and it cost market share. We saw a bit of a rebound here last month from that customer. And so far into this month, I think, again, cautiously optimistic there. It's going to continue to progress, but it's going to take a few quarters. But that's why our volume was very strong, specifically to automotive. And in addition, again, not necessarily this quarter, but as you look out in the future, that specific OEM buys the most of our value-added products. And the Tier 1s we support that by a significant amount of value-added products support that specific customer. So Tim talks about mix. We're cautiously optimistic as we start moving into second and third quarter, along with the volume, we can start seeing a more favorable product mix. I don't anticipate a great deal that right now. Again, that will trickle in over the quarters to come, Sam.
Operator: Our next question comes from the line of John Tumazos with John Tumazos Very Independent Research.
John Tumazos: Could you describe the competitive dynamics in the tailor-welded blanks business? Who else makes them besides ArcelorMittal? Are there trading companies in that business? I'm surprised that you have to take early retirements there.
Geoffrey Gilmore: Yes, John, so interesting market. There are several players globally, not several players in North America. Obviously, there's ArcelorMittal Tailored Blanks, and then there's Worthington Steel with tailor-welded blanks. And it's not an area where the trading partners would play. You're familiar with this business, it is highly technical. So the barriers of entry are high, which is why I don't think you've seen a significant amount of players in North America. That business is truly specific to part consolidation and lightweighting. And we've seen significant growth at tailor-welded blanks really specifically over the last 5 years, I would tell you, AMTB has seen the same with significant focus on lightweighting over the last 10 years, you're just continuing to see more and more of those specialized parts going into the body in white. And the future is bright for both AMTB and I think -- well, not think, I know for TWB as well with ultra-high strength steels and specifically press hardened steels, those parts are becoming more sought after. And AMTB was able to work with their research and development team on a process to adjoin high-strength parts. You recall, we mentioned 3 months ago that we reached a licensing agreement with them for what's called the ablation process. That's what's used to weld press hardened steel together. So the OEMs certainly want more than one player. We knew that, AMTB knew that. So it's a wonderful opportunity for us both to pursue competitively. Why that's growing? If you look at the nature of that product, John, and again, I talk about it being highly technical. This press hardened steel is heated up to temperatures that make it much more formidable. And then when it goes through the actual hot stamping, it retains its strength. And why that's important, you're able to take what several parts today and now create one, and one that's lighter. And so there are savings on the weight that the customer is buying, freight that they're paying and scrap. And then when it gets to the assembly line, it takes out significant cost for the automotive company because you're assembling one part versus what was several parts. And it's a critical component, and this is probably the most important. There's huge safety concerns. It's a critical part of the body in white. And what it will do is it protects the passenger and the battery if there is to be any type of crash. And then further, because of the lightweighting, you're taking out significant miles per gallon in the vehicle. So a lot less emissions, if it's an internal combustion engine. If it's hybrid or battery electric, obviously, range is important and lighter weight will increase range. But that's why those products are becoming so popular.
John Tumazos: So if the products are growing, why are you thinning out your people?
Geoffrey Gilmore: I didn't understand that, John. Could you repeat that for me, please?
John Tumazos: You described how the products are growing. So then why were you taking early retirements?
Geoffrey Gilmore: TWB?
John Tumazos: Yes.
Geoffrey Gilmore: TWB took early retirements simply because we've made a couple of significant acquisitions in there. And John, part of the part -- part of your assumptions making any acquisitions is SG&A. You know our philosophy, and we tried to stick to our philosophy. That's never something that we want to cut too deep into. We like to embrace the companies that we buy. It takes time, John, to identify top talent. And rather than going in and with an impulsive RIF or putting a family in stress, this is a way to go about doing that, that much more aligns with our philosophy. And as this grows, again, we just got the license, John. We've just put our first ablation line in. So certainly, there will be that opportunity for the business to grow. And as it grows, and we need to scale up, we won't have a problem doing so.
Operator: I will now turn the call back over to Geoff Gilmore, President and CEO, for any closing remarks.
Geoffrey Gilmore: First, again, I want to thank our team for an exceptional job. I could not be more proud of all of them. We are exceeding my expectations, which are high for myself and the team and truly appreciate everybody that's been listening in today and asking questions and showing interest in Worthington Steel. We had an exceptional quarter. Again, I want to continue to use cautiously optimistic, but our base business has never been stronger. And as we work through some of the headwinds that we faced, we are well positioned to take advantage of any opportunity in the growth that's coming. Thank you.
Operator: And that concludes our call today. Thank you all for joining. You may now disconnect.